Operator: Good day and welcome to the FactSet third quarter earnings call. [Operator Instructions] As a reminder, this call may be recorded. I would now like to turn the call over to Kevin Toomey, Head of Investor Relations. Please go ahead.
Kevin Toomey: Thank you and good morning, everyone. Welcome to FactSet's Third Fiscal Quarter 2025 Earnings Call. Before we begin, the slides we reference during this presentation can be found through the webcast on the Investor Relations section of our website at factset.com. A replay of today's call will be available on our website. After our prepared remarks, we will open the call to questions. The call is scheduled to last for 1 hour. [Operator Instructions] Before we discuss our results, I encourage all listeners to review the legal notice on Slide 2. Discussions on this call may contain forward-looking statements. Such statements are subject to risks and uncertainties that may cause actual results to differ materially from results anticipated in these forward-looking statements. Additional information concerning these risks and uncertainties can be found in our Forms 10-K and 10-Q. Our slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliations to the most directly comparable GAAP measures are in the appendix to the presentation and in our earnings release issued earlier today, both of which can be found on our website at investor.fatset.com. During this call, unless otherwise noted, relative performance metrics reflect changes as compared to the respective fiscal 2024 period. Also, consistent with the last quarter, please note that starting fiscal 2025, FactSet is reporting organic ASV rather than organic ASV plus professional services to focus on the recurring nature of our revenues. Joining me today are Phil Snow, Chief Executive Officer; Helen Shan, Chief Financial Officer; and Goran Skoko, Chief Revenue Officer. I will now turn the discussion over to Phil Snow.
Frederick Snow: Thank you, Kevin, and good morning, everyone. Thanks for joining us today. Before we discuss our Q3 results, I just want to take a moment to recognize an important milestone for FactSet and for me personally. Earlier this month, we announced my decision to retire after 30 years with FactSet and the past decade as CEO. It's been a privilege to spend my career here working alongside such a talented, collaborative and mission-driven team. Together, we've expanded our data and workflow capabilities, deepened client relationships and more than doubled our revenue over the past 10 years, positioning FactSet as a trusted global enterprise leader in powering smarter, data-driven investment decisions. It's been an incredible journey, and I'm proud of all we've accomplished together. Looking ahead, I'm even more confident in FactSet's future. I'm also pleased to share that Sanoke Viswanathan will become FactSet's next CEO in early September. Sanoke brings over 25 years of global leadership experience in financial services and technology, most recently at JPMorgan Chase. And he has a strong strategic mindset and a proven track record of delivering technology-driven growth at scale. As FactSet prepares for its next chapter of leadership, I'm proud of the solid foundation we've established built on innovation, client trust and industry-leading data and workflow solutions. I'm confident Sanoke's leadership will guide FactSet through its next phase of growth and look forward to working with him closely to ensure a smooth and thoughtful transition. With that, let's turn to our third quarter results. In the third quarter, we achieved organic ASV growth of 4.5% year-over-year, fueled by recent wins in wealth, dealmakers and partnerships. We also delivered an adjusted operating margin of 36.8% and adjusted diluted EPS of $4.27. As we previously indicated, we anticipated stronger growth in the second half of this fiscal year, and we're pleased with our Q3 performance. These results reflect the successful execution of our enterprise solutions strategy and underscore our commitment to helping clients lower their total cost of ownership. We continue to see positive trends in ASV retention, and I am pleased to report that both expansion within existing accounts and new business accelerated in the quarter. As you may recall, the fourth quarter is seasonally our highest ASV of the year. And with a healthy pipeline and growing momentum, we are well positioned for a strong close to the fiscal year. Accordingly, we are reaffirming our FY '25 guidance. Helen will cover our financial results and guidance in more detail later in her remarks. Turning to third quarter results. ASV retention remained strong at over 95%, while client retention was at 91%. Our client base grew to over 8,800 driven by strong demand from corporate wealth management and buy-side clients, including those added through the LiquidityBook acquisition. Our user count rose to over 220,000 primarily reflecting growth among wealth management users. Starting with our performance by region. In the Americas, organic ASV increased by 5%. The strength of this quarter was driven by higher banking and asset energy retention, coupled with higher demand in wealth, hedge funds and corporates. In EMEA, organic ASV growth was 2%. We saw improved retention in banking and wealth. However, this was offset by lower contributions from the annual price increase and buy-side headwinds. In Asia Pacific, organic ASV growth increased 7% primarily driven by higher retention in the banking sector. This growth was partially offset by the reduced pricing uplift and asset owner headwinds. Now turning to our results from a firm-type perspective. Wealth organic ASV maintained its double-digit growth pace in Q3, marking a second consecutive quarter of acceleration. We continue to capture market share by displacing incumbent providers with new business sales nearly double the number of new logos versus a year ago. Our product portfolio demonstrated broad-based strength among both new and existing clients, specifically a large 7-figure renewal and twice as many 6-figure wins as a year ago. Notably, we are growing FactSet's presence in wealth by selling more data feeds and digital solutions to clients who already use our industry-leading desktop solution across their organization. The attach rate for off-platform products continues to rise. And so far in FY '25, we are capturing attach rates that are around 1.5x what we saw in FY '24. Within dealmakers, this quarter's banking gains were largely driven by the favorable comparison to last year's third quarter, which includes the impact of the UBS-Credit Suisse merger. Over the past 3 years, our seat count has grown considerably as we continue to displace incumbent providers as clients increasingly choose our best-in-class banking solutions. We're also encouraged by meaningful improvements in retention, highlighted by the signing of several multiyear deals, including a favorable outcome on a large global banking renewal. These long-term agreements reinforce FactSet's position as a trusted enterprise partner and create new opportunities for future growth. While it's still early to assess some hiring trends, preliminary indications suggest they may be in line with last year's levels. We're optimistic about our ability to expand the footprint of FactSet services to drive add-on sales beyond the Workstation. We continue to execute on our robust Pitch Creator pipeline. And within just seconds of launch, we now have 10 signed deals and over 45 opportunities with large banking clients in active trials and others in later stages of commercial negotiation. In addition to Pitch Creator, our recently acquired LogoIntern solution is proving to be a valuable utility tool for clients and strengthens our position in banker automation. Together, these tools are creating greater workflow efficiencies, driving adoption, client conversations and closes. Outside of banking, PE/VC remains a bright spot with Q3 marking our fourth consecutive quarter of accelerating growth driven by the strength of our private markets offering and Cobalt. Corporates also contributed meaningfully supported by strong tailwinds from our Irwin business, which drove increases in both ASV and seat count. Since the acquisition of Irwin earlier this year, nearly half of new corporates ASV has come from competitor displacements. This success validates our land-and-expand strategy using Investor Relations users as an entry point to deepen relationships within the office of the CFO. Within the institutional buy side, we had several positive developments this quarter. We secured strategic wins for our front-office solutions and improved retention with our asset management clients. One example is a new IRN 2.0 deal with a major U.S. asset manager choosing us to replace their legacy research management system, thanks to our advanced dashboard and GenAI capabilities. Our managed services offering is also opening new growth channels as we replaced several incumbent vendors at a major asset manager who is now fully aligned with FactSet. Hedge funds were another area of strength with growth accelerating due to new fund launches, greater adoption of the Workstation and data products and the positive impact of our recent street account price increases. We expect hedge fund demand to continue in fiscal 2025. At the same time, we faced several headwinds. Reduced contribution from the annual price increase offset some of our gains. Additionally, as clients, especially asset owners, continue to optimize costs and streamline their vendor relationships, we are seeing more pressure in these areas. We are committed to leveraging our innovative solutions and client relationships to drive future growth. For partnerships in CGS, growth continued in the third quarter driven by a significant real-time win and strength in the new issuance markets for CGS. New business and expansion activity remains strong across multiple partner types. Looking ahead, we expect this positive trajectory to continue into the fourth quarter. In summary, I want to reiterate that our #1 priority is to drive top line growth. The breadth and quality of our opportunities give us visibility and confidence as we look ahead. We are well positioned to deliver in Q4 and meet our full year fiscal 2025 guidance. The majority of the pipeline for the remainder of the year is driven by the institutional buy side. As noted earlier, the demand for middle-office solutions, in particular, performance and managed services, is high as clients look for longer-term help as they upgrade their tech stack. Our innovation with using GenAI in our buy-side solutions is supporting strong client engagement and opportunities as well. Demand for our Data Solutions is expected to be a notable contributor to our Q4 results. The need for fundamental and estimates data remains high, in part driven by hedge funds and wealth. Engagement on real time and benchmarks has grown as clients look for modern technology, quality and stability, and these solutions represent more than 1/3 of the data opportunities. Wealth remains our growth engine. Our success in displacing incumbents and expanding from the adviser desktop into adjacent areas, such as APIs, widgets and data feeds, is resulting in meaningful client demand. Our wealth pipeline is strong, spanning desktops and real-time data and a growing demand for more sophisticated PLC tools where FactSet has deep industry credibility, giving us greater confidence to extend our success both geographically and within the wealth home office. Our teams are capitalizing on FactSet's first-mover advantage in GenAI, executing our go-to-market strategy to deliver innovative solutions that streamline workflows and help clients unlock greater efficiencies. With the strong foundation we've built, we are well positioned to fulfill our mission of supercharging financial intelligence. I will now turn it over to Helen to take you through our third quarter performance and FY '25 guidance in more detail.
Helen Shan: Thank you, Phil, and hello to everyone on the call. We anticipated a better performance in the second half, and I'm pleased to report that the third quarter showed strength in both financial and operating results. As Phil mentioned, our pipeline is solid, positioning us well for continued ASP growth to finish out the year. Given this momentum, we are reaffirming our guidance for FY '25. I'll share more detail shortly, but let's first review the quarterly results. Organic ASV grew by $22.6 million in the quarter, representing a 4.5% increase year-over-year. We successfully captured an additional $11 million in our annual price increase primarily in the EMEA and Asia Pac regions. This amount was lower than prior year, which reflects the anticipated headwind of lower CPI in our pricing. GAAP revenues increased 5.9% year-over-year, reaching $586 million. When we look at organic revenue, which excludes foreign exchange movements and impact from acquisitions or dispositions during the past 12 months, we saw a 4.4% increase, reaching $577 million. For our geographic segments, organic revenue grew by 5% in the Americas, 2% in EMEA and 6% in Asia Pacific. Now turning to expense. GAAP operating expenses, which include onetime nonrecurring items, increased 11.7% year-over-year to $391 million. This was primarily driven by both higher employee and technology expenses. On an adjusted basis, operating expense grew 10.6%. Employee expense increased 12% compared to the same quarter last year. This reflects our return to a normal bonus accrual and excludes a onetime payroll tax adjustment in the third quarter of the prior period. These 2 factors account for approximately 2/3 of the year-over-year change. Our workforce has grown by 2.6% year-over-year, strengthened by our strategic acquisitions of Irwin and LiquidityBook earlier this fiscal year. From Q2 to Q3, we have managed down our head count in our core business as we continue our disciplined approach of self-funding investment priorities through enhanced productivity and operational efficiency. Technology-related expenses increased 21%, reflecting the higher amortization of internal-use software and our ongoing investment in generative AI capabilities. As previously communicated, we are strategically focusing our growth spend on technology to drive market leadership through product innovation. These costs now represent approximately 11% of revenue this quarter, up slightly from 10% from the same period a year ago. We have managed the 2 remaining large spend categories effectively. Third-party content costs increased 1% year-over-year, now representing under 5% of revenue, about 20 basis points lower than the prior year. Our real estate and related facilities expense remained steady year-over-year at just under 3% of revenue, also 20 basis points lower as compared to last year. For a more detailed breakdown of our expense progression from revenue to adjusted operating income, I encourage you to reference the appendix in today's earnings presentation. Moving to our margin performance. Our GAAP operating margin was 33.2%, lower by 350 basis points compared to a year ago. Adjusted operating margin was 36.8%, a decrease of 270 basis points year-over-year. These figures reflect the normalization of our bonus accruals this year, the onetime favorable tax adjustment in the prior year and increased technology expense. SG&A as a percentage of revenue was approximately 20 basis points higher year-over-year on a GAAP basis primarily due to increased compensation expense and professional fees related to our acquisitions. On an adjusted basis, excluding onetime items, our SG&A improved by about 15 basis points, demonstrating our ongoing commitment to operational efficiency. Our GAAP effective tax rate in the third quarter was 17.5%, an increase from 17% we saw in the same quarter last year, primarily reflecting lower excess tax benefits from our stock-based compensation. Regarding earnings per share, our GAAP diluted EPS was $3.87, a decrease of $0.22 or 5.4% versus $4.09 in the same period last year. Adjusted EPS decreased by $0.10 or 2.3% to $4.27. These results reflect our continued investment in the business, which drives our revenue growth. Our EBITDA was $236 million, a decrease of 1.7% compared to the prior year period, reflecting lower net income. Most notably, our free cash flow, which we define as cash generated from operations minus capital spending grew to $229 million in the third quarter, up 5% over the same period last year. This improvement was driven by stronger operating cash flows, highlighting the underlying financial strength of our business and our ability to increase cash generation even as we invest for future growth. Turning now to the use of capital for shareholder return. In the quarter, we repurchased approximately 184,000 shares for around $81 million at an average share price of $438.45. At the end of the fiscal quarter, we had $106 million remaining under the $300 million share repurchase authorization our Board approved last September. Additionally, on June 17, 2025, our Board of Directors approved a new share repurchase authorization of up to $400 million, which will become available on September 1, 2025. On June 18, 2025, we paid a quarterly dividend of $1.10 per share to holders of record as of May 30, 2025. This represents a 6% increase from the previous quarter dividend and marks the 26th consecutive year of dividend increases on a stock split-adjusted basis. When we combine our dividends and share repurchases, we have returned $415 million to our shareholders over the past 12 months, demonstrating our ongoing commitment to delivering shareholder value. During the quarter, we refinanced the credit facility that was established 3 years ago for the CGS acquisition. Our new credit facility includes a $500 million funded term loan and $1 billion undrawn revolver, providing us with additional liquidity and balance sheet flexibility to support business growth. We continued our disciplined approach to debt management by repaying $62.5 million of term loan principal, consistent with our previous pace, and ended the quarter with a gross leverage ratio of 1.7x. Finally, the second half of fiscal 2025 is showing improved results with third quarter organic ASV growth accelerating as we successfully meet client demands. Our visibility into the pipeline gives us confidence in Q4 performance, and we are reaffirming our previously issued guidance. We are making targeted investments in our strategic priorities, focusing on differentiated products and internal efficiency initiatives. We anticipate Q4 to be the highest quarter for expense this fiscal year with investments concentrated on our GenAI and infrastructure projects alongside go-to-market initiatives that are already strengthening pipeline volume and quality. In conclusion, we remain committed to driving ASV growth, maintaining operational focus and allocating capital wisely to enable FactSet to deliver sustainable long-term value to shareholders. On behalf of the executive leadership team, I would also like to extend my sincere gratitude to Phil for his leadership and contributions. While many of us know Phil for his love of impossibly spicy foods and his deep knowledge of '80s rock bands, his unwavering focus has always been on 2 things: his family and FactSet. On a personal note, I've learned much from his open leadership style and truly valued our partnership through both challenges and successes. And we are enthusiastic about welcoming Sanoke in September as he leads FactSet into its next chapter of success. Having been a FactSet client himself, he brings a unique perspective that will further help us enhance our client-first approach. On behalf of all Factsetters, we wish Phil only the best and look forward to having Sanoke on board. And with that, we are now ready for your questions. Operator?
Operator: [Operator Instructions] Our first question comes from Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: I wanted to ask if there's any change in the macro environment. You're seeing a little bit of a turn-up in the ASP growth, which is certainly positive after over a year of sequential declines. So I'm wondering, is it all better execution and products getting traction? Or are you seeing anything in the end markets that are giving you any tailwind whatsoever?
Frederick Snow: Shlomo, it's Phil. Thanks for the question. Yes, we -- honestly, we've not seen that much difference, I would say, this fiscal year. Obviously, we had -- in April, the markets were dynamic. So we saw maybe a couple of weeks of clients probably waiting to kind of see how things played out. But I think the main takeaway, I would think for you, is that many of our clients are going through these multiyear transformations in terms of the technology and data, and FactSet's just in such a great place to support them with that. And that's certainly what we're seeing in the pipeline for the rest of the year. And maybe I'll ask Goran here just to add a few other comments.
Goran Skoko: Shlomo, I think we see a little bit more positivity in client reactions over the past quarter. So there is some momentum there. I would attribute most of the momentum changing in our favor is to our products resonating. I think we are -- they're focused more on our Data Solutions in general. And I think we're seeing that pay dividends. And we do expect significant boost from the -- from our buy-side offerings in the fourth quarter. Our GenAI solutions have also helped us generate momentum, particularly, I would say, Pitch Creator and our conversational API and as well as our offerings on the buy side in that regard. So I would attribute it mostly to execution and really the product line maturing in some of the areas that are really helping us.
Operator: Our next question comes from Alex Kramm with UBS.
Alex Kramm: Not sure if this is just a follow-on to the first question, but maybe a little bit more specific on the 4Q outlook. If I look at the guidance range, which is obviously unchanged, I think to get to the low end, you need to basically do what you did in the last 3 years in the fourth quarter, I think mid-$50 million-or-so range. So I think the one thing that you said earlier in your prepared remarks was banking was kind of in line with the -- with last year. So maybe -- and you touched on this a little bit just now, but like maybe relative to last year, can you just like contrast where things are significantly better and where they may be a little bit weaker to kind of get a sense where there could actually be upside or downside to the low end?
Frederick Snow: Yes. Thanks, Alex. I'll start and I'm sure Goran will have additional comments. So we're definitely -- we're significantly ahead of where we were at this time for the last 2 years. The areas that look like they're going to be driving growth are the Americas and EMEA. So both of those regions look strong. I would say our core business, the Workstation, is relatively flat to last year. So the strength is really coming from our enterprise solutions. So that's the portfolio life cycle for the buy side as well as our feeds business, which is really doing great. So that's showing a lot of momentum going into Q4. And the buy side, more specifically, I think as Goran mentioned, looks really strong for Q4. So when you look at kind of the top 15 deals we have out there for Q4, I think 10 of those or approximately 2/3 of those are coming from the institutional asset management part of our business.
Goran Skoko: So Alex, just to add to what Phil already said, I think, obviously, the booked ASV or commitments that we have is well ahead of last year. We see improved retention in the quarter. I think we have good visibility into cancellations for the next 90 days, and we see significant improvements in that number. So those are 2 very tangible factors that increase our confidence in reaching the numbers that we are projecting. Pipeline itself, we couldn't be happier with the diversity of it. So we see pipeline is very diverse across the deal sizes as well as firm types and solutions. So we're not dependent on any large deal to really get us over the finish line in the fourth quarter, and that gives us additional confidence. Personally, I'm really happy about what we see as an uptick on the buy side, as Phil already mentioned. And I think that what further, I think, reinforces our confidence is that we do have some quick, fast-developing deals in the fourth quarter that can help us offset any falloffs that can potentially happen. So we're quite confident that we'll be within the range that we have guided towards.
Operator: Our next question comes from Faiza Alwy with Deutsche Bank.
Faiza Alwy: I know it's a bit early, but I wanted to ask if you have any thoughts around how we should think about fiscal '26 because I know you've talked about you typically do have visibility over the next 6 months. And really, if I can just ask a direct question, do you expect to see further acceleration a little beyond Q4?
Helen Shan: Faiza, it's Helen. Let me try to take that one. So right now, we're obviously focused on this quarter and executing against that. We feel very comfortable, as what Goran and Phil both talked about. And you can imagine that the same trends that you're hearing us talk through will continue. But we don't talk about next year until we go into our September call. So that's where we plan on doing that.
Operator: Our next question comes from Ashish Sabadra with RBC.
Ashish Sabadra: Phil, congrats on your retirement. Just on -- in the prepared remarks, there was a comment around asset owner, pertaining to optimized costs and streamlining the vendor relationship, I was just wondering if you could provide some color on the headwinds there, but also how do we think about inflecting the growth for that [indiscernible]?
Frederick Snow: Yes, Amit (sic) [ Ashish ] , but we have a great business with asset owners, and they utilize a lot of our core analytics product for the buy side. And our strategy has obviously been to be open, flexible and provide best-in-class point solutions for those firms. Many of them are essentially just looking at how to further streamline their businesses. So it's a competitive area. We're partnered with many important firms in the space to provide solutions there. But it certainly, at least in this quarter, was a bit of a headwind for us. Although looking at the pipeline for Q4, it looks like we'll do better than we did in Q4 of last year or for the year. So that will be a good tailwind. Goran, do you want to add anything to that?
Goran Skoko: Yes. The quarter is a little bit of an outlier from that perspective. Obviously, as Phil said, it is a competitive space. But looking ahead, we do not see a similar quarter in our future. We are investing in -- LiquidityBook will certainly help us close the MSA compliance gap. And we are building the total portfolio solutions, have made significant progress there as well. So we do expect that this will remain a competitive area for us but expect improvement in the future.
Operator: Our next question comes from Owen Lau with Oppenheimer.
Kwun Sum Lau: So the adjusted operating margin for the first 3 quarters is about 37.2% based on my math. It implies that the fiscal 4Q margin has to go down to around 34.6% to hit the midpoint of your full year guidance. So is there any expense or investment we should be aware of for your fourth quarter? Or it will follow historical patterns and it will more likely to land at the high end of your full year margin guidance?
Helen Shan: Owen, it's Helen. Thank you for that question. And your numbers are correct. So as you know, as we started off the year, we talked about that we're executing our investment plan across our -- what we call our 3 pillars, which is expansion in data, embedding deeper in our client workflows and accelerating through our GenAI road map. So the pace of investments has picked up over the course of the year. And so for the rest of the year, we pretty much remain on track to deliver the margin within our guidance range of 36% to 37% on the adjusted basis. The spend that we see picking up will be on the expertise that we've brought in to work on new solutions like in GenAI. The investments that we're actually using to support the integration of the acquisitions -- you may recall, both of our acquisitions are slightly dilutive and then the technology costs, which are increasing as we expected. So at this point right now, we feel pretty comfortable that we will be in the in the range that we've discussed, and we'll continue on that path.
Operator: Our next question comes from Andrew Nicholas with William Blair.
Andrew Nicholas: Appreciate all the commentary on the monetization of GenAI and some success on the top line. I just wanted to ask about progress from an internal efficiency perspective. Helen, I think you mentioned briefly some internal efficiency initiatives. Just curious, how much of that is GenAI-related? And if we're thinking about kind of the increased investment there, how much of that could potentially be offset and over what time frame from cost savings from the same technologies?
Frederick Snow: Great. Yes. This is Phil. I'll start and then I'm sure Helen has some additional comments. So yes, we're certainly very focused now on using AI internally. Our initial strategy really was to focus on building the foundation, the capabilities, educating our workforce and delivering product to the marketplace. So we feel good about that. But we're now in a very good place to apply that same strategy internally. So we're looking at, obviously, developers, giving them tools to produce code more efficiently. We're looking at all of our client-facing employees who spend a lot of time doing administrative tasks, getting ready for meetings and so on. So there's lots of things we can do to help them be more productive and spend more of their time really on sort of the prospecting, selling and the fun part of the job. And then there's obviously efficiencies that we can go through collecting data. We've been masters of that for decades of just further automating the collection of data. So this certainly helps with that. So those are some of the areas that we're focused on. And I think just sort of getting organized around that internally and thinking about how that affects the algorithm for the next 3 years is going to be an important piece of, I think, how we think about the company and how you should think about it.
Helen Shan: Yes. No, that's exactly right. Phil touched on all the real high points. What's interesting, and as you might guess, the question that I like to always ask when we're investing is what's the ROI. The challenge when you're -- right now as we're investing in that direct result between investing and financing. But I think what we look at is the overall either increasing an output or being able to see more flat growth in expense going forward. And I think that's really, honestly, the right way to go. So currently, one of the examples that we've done is internally our cost events coverage, which more than doubled from 7,000 to [ 15,000 ]. We've seen a 10% improvement on output from our engineering through the coding assistance. Our street account has expanded. And another -- just an example of AI-generated fund descriptions, we've been able to get those projects done in 1/3 of the time. And that means that we're just not only but higher quality. And those are just examples. It's very hard to get an ROI on but you see that ends up benefiting. Now the outcome that we look at, for example, if I look at head count growth, if you take out the acquisitions, we are essentially flat to down in terms of head count. And so that is where I think we'll see some of these benefits flow through very much on the things that Phil were engineering and in product, looking at the day in the life. We have over 50 opportunities. So we'll see more of that come through going forward.
Operator: Your next question comes from Surinder Thind with Jefferies.
Surinder Thind: A big-picture question here margins and kind of the trade-off of growth versus margins here. We think over the next 1, 2, 3 years, is the idea that kind of expenses, we should see more operating leverage, I guess, that we're near peak investment, I guess, near fiscal 4Q and then it kind of deals normally or below normal at?
Helen Shan: Sure. Thanks for that question. As we said, based on our current outlook, we anticipate that our margin is going to land comfortably within this guidance range. And as noted that we did have some dilution from our recent actions. But we've essentially -- as we talked about on Investor Day, part of this will be self-funding our investments through lower hiring is one piece. And we'll continue on the efficiency front as well. Now -- so we're not looking at this point to talk more around what we've talked about already in terms of our longer-term outlook, but I can say that, just as I answered before, some of the points that we're starting to see in '25, we would expect that continue going into the next couple of years.
Operator: Our next question comes from Craig Huber with Huber Research.
Craig Huber: On the cost side, Helen, it looked to us like your costs adjusted for some onetime items overall was up about 10% to 11% year-over-year. If you take out the acquisitions, was it up more like 300 basis points lower than that, so call it roughly 8% maybe? Answering that question, can you touch on, please, the investments you guys are making in your sales force? Is that up significantly all this year? Or is it more like flattish? How should we think about that?
Helen Shan: Great. Thank you for that. I think I caught most of that. But part of the increase of impacting our margin, as you know, was -- is bonus accrual, is compensation, where last year, we knew we were coming in at a different level. And therefore, we adjusted our bonus as a result of that. So that is the biggest piece of that delta. And then I don't know if you call that onetime, but that makes a big difference. Investments, our tech expenses continue to be higher. They are up 21%. Part of that is the amortization of internal-use software and part of that's just spend as it relates to the cloud. I will say, though, other expenses, which is like facilities, is lower 20 basis as a perspective of relative to revenue as is third party. So we're really trying to manage our third-party costs as we try to go through the additional need of investments on the tech spend.
Craig Huber: So what about the sales force part of it?
Helen Shan: Oh, yes, sorry. No, I would say from a sales force perspective, we're relatively flat. There are areas that we are investing more in and on the -- more on the product specialty side. But overall, I would say, from a sales force perspective, relatively flat.
Operator: Our next question comes from Toni Kaplan with Morgan Stanley.
Toni Kaplan: Phil, congrats on your retirement. I wanted to ask the offensive GenAI gen, you mentioned 10 signed deals and 45 opportunities. On the signed deals, are these customers who already said that want to adopt Pitch Creator? Or are these new banks that want to have sort of a full FactSet product and are adopting -- and Pitch Creator was like the driver for that? And what else is out in the marketplace like it at this point? I know you were sort of first, but has anything -- any other products come up to this point?
Goran Skoko: Toni, it's Goran. So it's a bit of a mix. I would say most of the current deals are with existing clients, where they have adapted Pitch Creator as part of the overall solutions. We do have deals in the pipeline. Don't forget that Pitch Creator has been out there less than about 4 or 5 months. So we do have some selling activity which -- for Pitch Creator is a significant contributor in in the sentiment of those deals that are currently in the pipeline. So we expect it to contribute to winning new business in addition to cross-selling and upselling of the existing business. I hope that that helps.
Operator: Our next question comes from Jeff Silber with BMO Capital Markets.
Unknown Analyst: It's Ryan on for Jeff. Just going back to your guidance, it implies a pretty broad range of outcomes in the final quarter of the year. Just wondering how you can help us understand some of the swing factors or the macro impacts that might be driving that. I think you mentioned a lot of that is pipeline from institutional buy side
Frederick Snow: Yes. Thank you. This is Phil. So as Goran mentioned, it's a very broad portfolio of opportunities. We're not relying on any big-swing deal, I think, or there's nothing left in terms of a potential big negative out there. So it's really just execution on a broad portfolio. We're well ahead again of where we were this time last year. It's just a lot of deals to close. So I believe, barring any really disruptive thing in the market, it looks like we're in a good position to execute there within the range. But we, I think, just wanted to leave it sort of the way it was just given the number of deals that we have to close in the next 2.5 months.
Helen Shan: Yes. Our guidance range is obviously designed to reflect the potential variability of outcomes. And so we really want to make sure that we're doing that, and that's why we're leaving it as is.
Operator: Our next question comes from Manav Patnaik with Barclays.
Brendan Popson: This is Brendan on for Manav. I just want to ask on the -- are you guys highlighting the just increased focus on Data Solutions? And just wanted to see why do you feel like there's more momentum there now. And is there something about your -- either the product you're offering or your go-to-market that's changed that's giving you more confidence?
Frederick Snow: Yes. So it's -- it looks like it's returning to historical levels or at least it's on that path, which is fantastic as a growth driver for the company. We've certainly broadened that suite of product. We've added some very good real-time pricing corporate actions and reference data capabilities. So FactSet is delivering data now to more workflows than we might have historically. Historically, we were really focused on quant workflows, going into a lot of other performance systems. But I think that the broader suite of stuff we're doing now for clients, including some of these new data areas, is really helping. And I think we also organizationally, if you remember a year or 2 ago, we moved the CTS business, which was a vertical, into the data part of our business. And the thinking there was we just want one factory for data. And the feeds that we're delivering to our clients, our partners and even our own engineers, we wanted to have more consistency there. So I do think there was a bit of a blip there just due to that big change internally. But I think we're in a good shape now and a lot of that settled out.
Goran Skoko: Just to add to what Phil said, I think -- additionally, I think we have refocused the team on data sales within the sales organization. And I think that's paying dividends. Phil already mentioned improvements or some products to be really are investing in and have high hopes for in terms of our real-time exchange data feed business as well as price reference data. Those are starting to contribute, and we expect significant contribution from them. And also in the current environment, I think there is more and more demand for data in general. So all of that is driving improvement in that part of the business.
Operator: Our next question comes from David Motemaden with Evercore ISI.
David Motemaden: Phil, congrats on your retirement. Just -- I just wanted to just level set for where we are in terms of the 30 to 50 basis points ASV contribution from GenAI this year. Are we tracking in line with that? And as -- in terms of the traction you're getting there, do you think that's something that we should see accelerate and add more to ASV from that 30 to 50 basis points in the next year or 2?
Frederick Snow: Yes. We're definitely tracking towards that. We talked a little bit earlier about Pitch Creator, but that's just one of the SKUs we have. So I think we have multiple SKUs now that are sort of getting into 7 figures. We're monetizing these solutions across sort of 6 different beach fronts. I think the buy side has a bit slower than the sell side to adopt some of this stuff, but we're hoping that changes for our Portfolio Commentary product, which we're very bullish about. We've just released the fixed income part of that. So we had equity to begin with and risk, but a lot of firms are waiting for us to have fixed income as well. So now that that's out, we're optimistic that we'll do more there next year. So I certainly do anticipate that this -- the momentum will continue to build. And we're -- we focus on a few workflows in this last fiscal year, but the team has done a great job of identifying sort of 3 or 4 other areas for us to start building out. And like everyone, we're now focused on agentic workflows. So just going from the foundation and the capabilities to essentially creating agents that can interact with each other and with employees. That's an exciting evolution that we're in the middle of.
Operator: Our next question comes from Scott Wurtzel with Wolfe Research.
Scott Wurtzel: Wondering if you can talk a little bit about the CUSIP collaboration with Omni that you announced and just the opportunity there and the overall demand for identifiers among VC and PE-backed companies.
Frederick Snow: Yes. So we're excited about being the gold standard for private market identifies with CUSIP. We're working very hard in the ecosystem to sort of identify partners that are interested in doing work with us. And JPMorgan is one of those firms. So I think on these -- one of the things we're excited about in terms of building out CUSIPs. So we've also spent a lot of time working with different firms on private credit. I think that's probably the one where we're furthest ahead. So we feel like we're building some good momentum here.
Operator: Our next question comes from Russell quelch with Roshchild and Redburn.
Russell Quelch: Helen, I think in your opening remarks, Helen, you mentioned the new liquidity you have to support growth. Will that be deployed organic or inorganically? And what are the main areas that you think you might deploy that additional capital to drive improving returns from next year?
Helen Shan: Thanks for that question, Russell. So yes, correct, we have ample liquidity, which is one of the benefits of sitting in the seat and not worrying about as markets are really quite volatile where we'll be. And as we noted that we slightly increased our share buyback from $300 million to $400 million, which is well within, I think, when you think about it as a percentage of our market cap. So I think we will continue, as we've talked about in the past, our commitment on shareholder return. And we'll take advantage of any market dislocations as it relates to share buyback. And of course, we've done a fair amount of acquisitions this year, and that will continue to be where our focus will be in terms of adding inorganic growth as well. But right now, as you might guess, we have lots of irons in the fire and we'll continue on that path.
Operator: Our next question comes from Jason Haas with Wells Fargo.
Unknown Analyst: This is on for Jason Haas. In the previous answer, you mentioned that 2 areas driving growth are Americas and EMEA, but EMEA organic ASV has been decelerating. So what gives you confidence in this region given the buy-side headwinds there?
Frederick Snow: Goran?
Goran Skoko: It's Goran. So I think we have -- our expectations for Q4 based on everything we see and the momentum in EMEA is that we will see a reacceleration. Our retention is trending much better in EMEA year-over-year. And just the strength of the pipeline and diversity of the pipeline in EMEA is -- gives us a lot of confidence in Q4. I mean you're right that this region has seen more challenges when it comes to buy side in general and more cost pressure, but at the same time, just based... [Technical Difficulty]
Frederick Snow: So hopefully, I'm just looking here as well at the pipeline. So it looks very broad-based as well. So across our seats, our PLC offerings and our feed offerings. It looks like a good portfolio of stuff for EMEA in Q4.
Helen Shan: And just as we get Goran back on here, the other piece as we think about the acceleration because you are right, as it relates to Q3, keep in mind, our annual price increase lower this year than last year in terms of what we're contractually going out with. So that headwind sort of goes away when we get into Q4 when we start to compare apples-to-apples. Goran, sorry, we lost you there for a moment.
Goran Skoko: Yes. So I'm not sure what you were able to hear. But basically, I think reinforcing what Phil said is the breadth of the pipeline and diversity is what gives us confidence, and we see improvement in Q4 in EMEA.
Operator: [Operator Instructions] Our next question comes from George Tong with Goldman Sachs.
Keen Fai Tong: I'd also like to extend my congrats to Phil on your retirement. So earlier, Helen, you talked about the EMEA and APAC pricing contributions decelerating a little bit because of lower CPI increases. Can you elaborate on the pricing environment more broadly in the international regions and if you're seeing any competitive changes that might also be affecting your pricing there?
Helen Shan: Sure. Happy to talk about -- Thanks, George. So yes, there are 2 ways for us to capture pricing, as you know. One is the annual price increase, which is contractual. And that is impacted by CPI, as you noted. And then the other is captured at the product level. So increased rate cards or higher price realization versus the rate card can help us there. So what we've seen this year, I mean, we adjust our prices. In fact, we raised selectively rate cards in January. And we see a lot of that come through with renewals and new business. But the solid increases this -- thus far have been in more corporate and hedge funds. We did raise our price, for example, on street account, which has been received well in terms of the value that clients see from it. I have mentioned in the past, as you may recall, that new business price realization was under pressure. And so we took greater discounts in favor of volume. And so that sort of worked out for us. I have to say that we've stabilized that. So right now, we don't see that continuing in terms of total discounts. We're seeing improvement on wealth asset management in terms of our price realization. We're flat on banking. And as noted, as you might guess, we've seen some pressure on asset and asset owners. So the guidance we have did incorporate the lower inflation rate. But right now, I would say there's not a huge difference across in the -- outside of the Americas globally. They're kind of following the same piece. So we tend to look much more along on a firm-type basis.
Frederick Snow: Well, I think that's our last question. So let's wrap up. Thanks to everyone for being here today. As we head into the fourth quarter, we are seeing strong momentum, visibility into our pipeline and confidence in delivering on our full year targets. Our enterprise partner status is resonating, and we're focused on execution, solving our clients' workflow challenges and driving long-term growth. To finish, this will be my last earnings call as the CEO of FactSet. It has been an honor to serve in this role for over the past decade, and I'm proud of what we've achieved together over the past 30 years and feel confident in the company's future prospects. I look forward to welcoming Sanoke aboard in September and working closely with him to ensure a seamless transition. And to our clients, partners, shareholders and all the Factsetters around the world, thank you all for your trust and support. Operator, that ends today's call.
Operator: Thank you for your participation. This does conclude the program. You may now disconnect. Everyone, have a great day